Operator: Ladies and gentlemen, hello, and thank you all for joining today's NewMarket Corporation Fourth Quarter 2019 and Year-End Financial Results Conference Call. We'll jump right in. And I'm pleased to turn the floor over to your host Mr. Brian Paliotti. Please go ahead sir.
Brian Paliotti: Thank you, Jim and thanks to everyone for joining us this afternoon. As a reminder, some of the statements made during this conference call may be forward-looking. Relevant factors that could cause results to differ materially from those forward-looking statements are contained in our earnings release and in our SEC filings, including our most recent Form 10-K. During the call, we may also discuss non-GAAP financial measures included in the earnings release. The earnings release which can be found out on our website includes a reconciliation of the non-GAAP financial measure to the comparable GAAP financial measure. We intend to file our 2019 10-K towards the middle of February. It will contain significantly more details on the operations and performance of our company. Please take the time to review it, and I will be referring to the data that was included in last night's release. Now, on to the fourth quarter results. Our profit before tax was $66.6 million, a 6.3% decrease compared to the profit before tax for the fourth quarter of 2018 of $71.1 million. With the Tax Reform Act affecting the quarterly earning's per share numbers this profit before tax number is a good way to compare periods. The next set of numbers, I'll mention does include the impact of the Tax Reform Act. Net income for the fourth quarter of 2019 was $50.1 million, or $4.48 a share compared to net income of 20 – $62.8 million, or $5.58 per share for the fourth quarter of 2018. Income tax expense was $16.5 million for the fourth quarter of 2019 compared to $8.3 million for the fourth quarter of 2018. The rate for 2018 was lower due to the one-time benefits recorded in 2018 associated with the Tax Reform Act. Now, on to petroleum additives performance. Sales for the fourth quarter were $582 million, down 1% compared to sales for the same period last year. Petroleum additives operating profit for the quarter was $73.6 million, down 7.4% versus the fourth quarter of 2018. The decrease was primarily due to changes in selling prices and foreign currency rates, partially offset by lower raw material costs. Shipments increased 1.4% between periods with increases in lubricant additive shipments partially offset by decreases in fuel additive shipments. North America and Europe were the primary drivers for the lubricant additives increases, partially offset by decreases in Asia Pacific. The decrease in fuel additive shipments was primarily driven by Latin America. The increase in shipments between the fourth quarter periods ever since the first time since the second quarter of 2018 that we have seen an increase. During this past quarter in addition to funding of $21 million of dividends, we spent $22 million on capital expenditures in support of our long-term capital plan. Turning to the full year, our petroleum additives operating profit was $359 million, up 15.5% versus the prior year with our profit before tax of $332 million, up 14.2% versus 2018 and net income of $254.3 million, up 8.3%. The income tax rate for 2019 is more consistent with management's expectations in the post-tax reform environment. Full year petroleum additive shipments decreased 5.5% versus 2018 with decreases in both lubricant additives and fuel additive shipments across all regions except North America, which reported an increase in lubricant additive shipments and Asia-Pacific, which reported an increase in fuel additive shipments across all regions except North America, which reported an increase in lubricant additive shipments and Asia Pacific, which reported an increase in fuel additive shipments. We saw market weakness throughout 2019, with it easing as the year progressed with steady improvement reflected in each of the quarters in 2019, as we narrowed the shipments gap versus 2018, ending in Q4 with a year-on-year increase in shipments. In 2019, we began to see a turnaround in the operating performance of the petroleum additives segment as compared to the prior year. In the two years prior to 2019, our operations were impacted by a challenging economic environment marked by a sustained increase in raw materials. While we've seen evidence that this trend improved in 2019, we will continue to make operating margin stability a priority. Petroleum additives operating profit for the rolling four quarters ended December 31, 2019 was 16.5%, which is more in line with the historical ranges our shareholders have come to expect. Along with our substantial investments in petroleum additives from both a capital and R&D perspective, we returned value to our shareholders through dividends of $82 million. We ended the year with a very healthy balance sheet and with net debt-to-EBITDA at 1.1 times. As we have stated before, we are comfortable maintaining net debt-to-EBITDA in the 1.5 to two times range and at times it will go outside that range. In 2020, we expect to see capital investments in the $75 million to $85 million range. Petroleum additives continued its steady performance as we continued to extend the reach of our products and services across the globe. Our global supply network is suited to continue our growth in all geographic regions through our passion for solutions model. We have maintained measured cost control and continue to make internal progress on our cost-to-serve efficiencies across the enterprise. We continue to see the global economic challenges and we'll remain committed to making decisions for the long term through our consistent strategy of excellence in the petroleum additives business. Our business continues to generate significant amounts of cash and our priorities for using cash remain the same, as we reinvest in the business for growth, find acquisitions that can strengthen our competitive position in petroleum additives and reward our shareholders through dividends and stock buybacks. As we look forward to 2020, we expect to build on the successes of the last year and will continue emphasis on margins. It should be a solid year for our petroleum additives segment and the company, as we are well positioned for the long-term. We will continue to focus our research and development efforts to bring higher-value products to our customers and will continue to improve quality and cost to be more effectively serving the market. We appreciate your support. I need to make one clarification. For the petroleum additives fourth quarter sales were $532 million. I misspoke and said $582 million, apologize for that. Jim, that concludes our planned comments. If there are any questions, please contact us directly via e-mail or via phone and we will expeditiously get back to you with a response and an answer. Now that concludes our conference call for the quarter and we'll talk to you all next quarter.
End of Q&A: Mr. Paliotti, thank you for your remarks today. Ladies and gentlemen, this does conclude today's meeting and we do thank you all for taking a moment of your day to join us. You may now disconnect your lines and we hope that you enjoy the rest of your day.